Operator: Good afternoon, everyone, and thank you for participating in today’s conference call to discuss Iteris’ financial results for its fiscal fourth quarter and year ended March 31, 2012. Joining us today are Iteris’ president and chief executive officer, Mr. Abbas Mohaddes, and the company’s CFO, Mr. Jim Miele.
 [Operator instructions] Before we start today’s call, I would like to take a moment to read the company’s Safe Harbor statement. We would like to remind all participants that during the course of this call, Iteris may make forward looking statements regarding future events or the future performance of the company.
 The forward-looking statements discussed during the call are based upon currently available information. This information will likely change over time. By discussing the company’s current perceptions of the market and the future performance of the company, its products and services, Iteris is not undertaking any obligation to provide updates in the future.
 Actual results may differ substantially from what is discussed today, and no one should assume that at a later date the company’s comments from today will still be valid. Iteris refers you to the documents that the company files from time to time with the SEC, specifically the company’s most recent Form 10-K and 10-Q. These documents contain and identify important risk factors that could cause actual results to differ materially from those that are contained in any of the forward-looking statements.
 Now I would like to turn the call over to Iteris President and CEO Mr. Abbas Mohaddes. Please go ahead. 
Abbas Mohaddes: Thank you, operator, and good afternoon everyone. As you saw at the close of the market today, we issued a press release announcing financial results for our fiscal fourth quarter and year ended March 31, 2012.
 We ended fiscal 2012 with our third consecutive quarter of year-over-year double-digit revenue growth supported by a 19% increase in organic sales from our transportation systems segment. Roadway sensors benefitted from our product development program, which delivered innovative solutions like Vantage Vector that are cost-effective for our clients and set the standard in the traffic industry.
 Since the completion of our non-core vehicle sensors divestiture, we have turned our focus to growing our core roadway sensors and transportation systems segments and plan to leverage our knowledge, decades of industry expertise, and leadership position to develop and enhance technologies and software-based solutions that address the needs of the intelligent traffic management market.
 So with the last year’s momentum to build on, we are particularly excited about the recent breakthroughs in traveler information as well as performance measurement and management, both of which involve the application of technology to deliver intelligent, actionable traffic information to traffic management operators, managers, and the traveling public.
 But before I comment further, I would love to turn the call over to our CFO, Jim Miele, who will take us through the details of our financial results for the quarter and full year. Afterwards, I’ll return to discuss some more of the highlights for the quarter and year, and how we plan to build shareholder value in fiscal 2013 and beyond. Finally, we will open the call for your questions.
 Jim? 
James Miele: Thanks, Abbas, and good afternoon, everyone, and thank you again for joining us today. For the fourth quarter ended March 31, 2012, our net sales and contract revenues increased 12% to $15.2 million. The increase was primarily attributed to a 27% increase in transportation system contract revenues, and as Abbas stated, 19% of this was organic, with the remainder provided by the acquisition of Berkeley Transportation Systems, or BTS, in November 2011.
 As there are different characteristics affecting each of our revenue streams and various attributes affecting our financial results, Abbas will provide more detail regarding our net sales and contract revenues later in his comments.
 Gross margin in the fourth quarter was 37.6%, or $5.7 million, compared to 44.4%, or $6.1 million in the same year-ago quarter. Gross margin in the fourth quarter was primarily impacted by a shift in mix toward transportation systems contract revenues, which typically provide a lower margin than product revenue, as well as a 220 basis points decline in product net sales gross margins to 49.4%, mainly due to sales mix.
 Additionally, transportation systems gross margin decreased during the quarter as a result of work performed on certain contracts with large subconsulting content. These types of contracts tend to provide lower gross margins.
 Operating expenses decreased 2% to $5.4 million, compared to $5.5 million in the year ago quarter, and GAAP net income was $358,000, or $0.01 per diluted share, compared to $480,000, or $0.01 per diluted share, in the same year-ago quarter.
 We repurchased approximately 239 shares of stock in the fourth quarter, bringing our total to 547,000 shares repurchased since the program was initiated in August 2011. Now the 547,000 shares is through March 31, 2012.
 Now turning to the results for the full year. For the year ended March 31, 2012, our net sales and contract revenues increased 12% to $58.4 million. Gross margin for the year was 39.5%, or $23.1 million, compared to 44%, or $22.9 million, in fiscal 2011, due primarily to the aforementioned shift in product mix.
 Operating expenses decreased 24% to $21.1 million, primarily due to an $8 million noncash goodwill impairment charge, which incurred in the third quarter of fiscal 2011. Excluding goodwill impairment, operating expenses increased 7% in fiscal 2012, mainly due to roadway sensors product development and sales and marketing, the inclusion of Meridian Environmental Technology and BTS operating expenses, and the development of iPerform performance measurement and management software.
 GAAP net income was $2.5 million, or $0.07 per diluted share, compared to a net loss of $5.2 million, or $0.15 per diluted share, in fiscal 2011, which was primarily attributable to the fiscal 2011 goodwill impairment.
 At March 31, 2012, cash on hand was $18.7 million, or an increase of $6.9 million, compared to $11.8 million at March 31, 2011. The increase was mainly as a result of the second fiscal quarter sale of our vehicle sensor segment for $12 million in cash. Total term debt at March 31, 2012 was $634,000, compared to $3 million at March 31, 2011, and we’ve not yet drawn upon our $12 million line of credit with our senior lender.
 This concludes my prepared remarks on the financials, and now I’d like to turn the call back over to Abbas, who will further discuss our quarter and the year, as well as our strategy for fiscal ’13 in greater detail. Abbas? 
Abbas Mohaddes: Thank you, Jim. Fiscal year 2012 was an important year in our company’s history, as we continued to execute our strategic plan to focus on the intelligent traffic management market and positioning the company for accelerated growth. We completed the acquisition and successful integration of MET and BTS, and divested our noncore vehicle sensors business.
 We then turned our focus to growing our roadway sensors and transportation systems segment by leveraging our years of experience and expertise to development and enhance technologies and software-based solutions that address the needs of the intelligent traffic management market. We are focusing on the specific segments within this market that we believe are growing much faster than the traffic industry as a whole.
 These include traveler information 511 and performance measurement and management, both of which involve the application of technology to deliver intelligent, actionable traffic information to traffic management operators and the traveling public. Our penetration of these markets should continue to transform Iteris into a traffic management information organization.
 With our acquisition of MET, we have made substantial progress in traveler information 511. Our 511 technology provides real-time traffic information systems that help commuters take optimal routes. In fiscal 2012, we recognized revenues of over $5 million in this area, which is classified in our contract revenues line item. We believe we are now the market leader in traveler information and 511 offerings, with nine states and three metros using our proprietary and actionable traffic intelligence.
 Just last week, we launched one of the nation’s most advanced 511 systems for the Commonwealth of Virginia, where we have developed applications that are expected to provide accurate and real-time traffic information as well as streaming video of traffic conditions. The contract now goes into the maintenance phase for up to 8 years, and it’s estimated at about $2 million annually.
 We expect several more awards as we continue to pursue similar programs in other states. Further, we have made internal investments and purchased BTS to establish the iPerform group in the high-growth segment of performance measurement and management. Our first product, called IterisPeMS, creates real-time, actionable traffic information that empowers agencies to improve their transportation network performance.
 We believe we possess game-changing technology in a largely untapped and expansive market. We expect this market to significantly expand for the next 5 years, and believe we possess the technology and relationships to be the leader in this segment. Our bullish view stems from the government’s increased emphasis on accountability in transportation infrastructure expenditure.
 The U.S. Department of Transportation, as well as the state DOTs, are expected to use performance measures as a funding gate for agencies. In addition, we expect legislation requiring real-time interstate traffic programs by 2013, and metro area routes by 2016. We believe IterisPeMS offers a powerful solution to improve an agency’s oversight and transportation network capabilities.
 IterisPeMS is the first of what is expected to be several software offerings, and we recently kicked off an extensive marketing campaign that includes visiting many of our prospective customers. We plan to continue to provide progress updates on this exciting development, and expect to see initial software revenues from this initiative in fiscal Q3 and expanding in Q4. We plan to provide software as a service, as well as the traditional licensing model for IterisPeMS.
 We feel strongly about the growth prospects available within these market segments and believe we are well on our way to capture significant market share. Our roadway sensors net sales did decrease slightly over the same quarter last year. We experienced several international customer orders in the prior year which did not reoccur in the current year. Furthermore, a delay in end user delivery requirements of one of the large contracts awarded constrained the segment’s growth for the quarter.
 Internationally, we plan to focus on distribution channel expansion and expect to continue to refine the products that address the market, notably our Abacus and Pico products. We were very pleased to ship our first orders of Vantage Vector, the new flagship sensor of the Vantage vehicle detection family, during the fourth quarter. Vantage Vector is the industry’s first vehicle detection sensor that combines video and radar technologies to provide a broader range of detection functions.
 We consistently push ourselves to meet the challenges of the evolving traffic market and expect Vector to be a very powerful and cost-effective solution for many special applications and adaptive traffic control systems.
 We ended the year with a solid backlog in roadway sensors, and expect the business to resume growth as we continue our channel building and product development efforts. Roadway sensor backlog at the end of the quarter was strong, at $3.1 million. Quarter end backlog was over 35% higher than at the end of fiscal year 2011, and is one of the highest ending backlog levels in this segment in recent years.
 The strength of our backlog, the positive early feedback on the Vector product, and incremental improvements in budget conditions in several states reinforces my expectations about our prospects for growth during this fiscal year.
 In transportation systems, sales increased 27% over the prior year quarter, which in part was due to several significant project wins. Sequentially, revenues in this segment have grown 6 straight quarters and at $8.8 million in revenues, this is a record revenue quarter. We are certainly encouraged by the continued sequential growth in this segment, and believe our investments are paying off.
 Over the last few quarters, we added several senior associates possessing business development experience as well as technical expertise. Again, much of the expansion has been in software-based information technology, which we believe is one of the fastest-growing segments in the intelligent traffic management market.
 I would like to briefly comment on transportation systems, as well as the overall Iteris gross margin. Historically, transportation systems gross margin has been in the low to mid-30% range. Subconsultants have accounted for approximately 10-15% of contract revenues, and normally provide only a 5-10% margin.
 In fiscal year 2012, our subconsultant content increased beyond the normal range, which resulted in lower transportation systems margin. I don’t expect this to be a long term trend. We do expect our overall margins to stabilize, and the subconsulting content as a percentage of revenue to decrease. In addition, we expect the margins on the traveler information contracts to improve as some of them move into the maintenance phase.
 Finally, we expect overall Iteris gross margins to gradually improve as we expand on our software-based products and services. Specifically, Vantage View and Abacus software, as well as IterisPeMS are expected to generate higher margins that Iteris has historically enjoyed. Therefore, going forward we anticipate an overall higher gross margin for the company as we gain traction with these products.
 Now moving on to the federal highway bill, the current expenditure level was extended until the end of June. Although it recently appeared that a multiyear highway bill has had solid bipartisan support on Capitol Hill, at the moment, and in light of the election year, the passage of the bill before the election seems uncertain.
 However, I returned from Washington, D.C. last week, and tremendous activities and discussion among the staffers and various involved organizations are taking place. In our view, we expect the bill’s funding attributed to the application of technology in transportation and intelligent traffic management will be significantly higher than previous bills, ultimately benefitting Iteris.
 Also, there are a variety of other transportation related funds flowing into our market, including infrastructure funds, transit funds, state and local agency bonds, tax hikes focused on transit, and transportation infrastructure improvements. We will also remain optimistic in our acquisition strategy, looking to acquire companies like MET and BTS that enhance our IP or position us in a new geographic location.
 As we begin fiscal 2013, we believe we are in a strong position to sustain double-digit organic growth, supplemented by further penetration of technology focused market segments. These high-growth segments should represent the perfect fit for our IP-centric intelligent traffic management solutions.
 In summary, I am very enthused about Iteris going forward as we continue transitioning the company to provide actionable information for the intelligent traffic management market. We plan to continue to execute on the strategy we set to position the company in the fastest-growing segments of our industry. We plan to leverage our years of experience and expertise within our core products and services, and believe they provide a solid platform to build upon. We plan to continue to invest in R&D, sales and marketing, and acquisitions to accelerate growth and lead the fast-growing intelligent traffic management information market.
 Our goal is to position the company to enjoy 20% sustainable annual top line growth with operating margins of 10-15%. Now with that, we would be delighted to respond to your questions and comments. Operator? 
Operator: [Operator instructions.] Our first question comes from the line of Jeff Van Sinderen with B. Riley & Company. 
Jeff Van Sinderen: Just wanted to follow up a little bit on your business in Abu Dhabi, because it seems like you’re building on the success there. Do you think that there’s more opportunity in that region? And I guess maybe if you could just talk a little bit more about that and some of your other international growth plans? 
Abbas Mohaddes: We are delighted to be able to expand on our international revenues and prospects and opportunities internationally, particularly in the Middle East, as you indicated. We announced a $2.4 million award about a week ago in Abu Dhabi that we are very happy about, particularly because this is the first traveler information program and system being deployed in the Middle East.
 They have been progressive and we started working with them about a year ago on other assignments. We opened up an office in Abu Dhabi and we are now seeing more of the fruits of our investment. I do believe that not only opportunities continue to present themselves in the United Arab Emirates.
 We also see opportunities in Qatar, in Saudi Arabia, and a handful of other Middle Eastern countries that we are currently either in the reconnaissance or in the proposal mode. In fact, we have partnered with a few various firms to propose on additional major projects.
 So I do anticipate our expansion and growth to continue in the Middle East. In addition, elsewhere in the world, as I have indicated in the past, Latin America is a focus for us as well, and we have been investing in sales and marketing, distribution channel expansion, and I expect that market to be fruitful for Iteris as well going forward. 
Jeff Van Sinderen: And then maybe we can switch gears and talk a little bit about the VDOT 511. Just wondering if you can talk more about some of the new features and improvements of that system, and whether or not you can apply those to new 511 business that you win. And also, maybe if you can just touch on the margins for that business, and how they are in the maintenance and the op space on 511. And then also, what can we look for in growth in 511 this year? 
Abbas Mohaddes: VDOT, we were quite pleased. Again, we announced this last week that the 511 was launched in Virginia. It’s a very prestigious contract for us. It covers all the Washington, D.C. and is statewide. And we have some technological breakthroughs in the 511 that I truly believe are transferrable and we could replicate those for other states.
 For one, we integrated third-party data. Not only the data that an organization has and has enjoyed for many years. Third-party new data came into play to help the information to be more accurate and more reliable. We also integrated about 800 CCTV cameras so that through handheld apps, a user could literally see the video stream of a corridor that he or she is driving through.
 These types of technologies I believe would really help us to continue receiving additional awards elsewhere in other states. As far as maintenance, again we are fortunate to continue with VDOT and support them and provide them with maintenance. We are in discussions and are completing the first year maintenance of over $2 million with VDOT, and the contract - VDOT has options to exercise this up to an additional eight years.
 The operating margins overall for the 511 activities are at about 10% or so. As we replicate and use the technologies that we have developed for other states, we believe that we could improve those margins because we don’t necessarily have to develop some of the technologies over again. So there is a tremendous amount of leverage that could help us.
 As far as your last point about the growth, about a couple of years ago when we strategically decided to penetrate more into this growing segment, Iteris was probably #3, #4 in the market, and at a time Meridien Environmental Technologies, or MET, were probably about the same situation, maybe number three, number four. Since we have combined forces, we are now considered the leader in the industry.
 We have now nine states plus three metropolitan. Just this last couple of quarters, we have received 2 awards on a couple of additional states. I would envision going forward we should enjoy more growth. I would be very disappointed if this growth wasn’t in the double-digit level as we go forward. So travel information and 511 are one of the key areas that we believe would help accelerate Iteris’ growth, domestically and of course now internationally. 
Jeff Van Sinderen: And then you also mentioned the IterisPeMS software. Maybe you can just touch on a little more detail in terms of what that product actually does, the functionality. And then any competition out there for that and margins associated with that? 
Abbas Mohaddes: Over a year ago, we began developing our own software to focus on better measurement and management of traffic network activities. We then, about 6 months ago, acquired BTS, who already had a software of their own, and they call it PEMS. This was BTS PEMS, performance measurement system. But they have already sold it to a dozen or more customers, including California Department of Transportation here in California.
 What the system does is primarily gather data from a variety of sources and then adds our expertise to make sense of this data in a very short period of time, real time, and turn that data and information into actionable information that you could use if you are an operator, if you are a manager, to be able to really make quick decisions to improve your traffic management system.
 So this is the type of information that has not been available to the industry in the past. In the past, we had to do studies, prepare reports, much of it is not real time, and now you have an opportunity to really make decisions, to improve traffic, based on this real-time information and really make a big difference in saving the end users travel time, stops, delay, reduction of course. And maybe save them some fuel.
 So that’s simply what the software does, and we believe that the market is largely untapped. We have a few competitors, although we believe that from a technology standpoint, we are ahead of the game at the moment.
 The IterisPeMS software itself we envision the margins to be in the 60% range or better. A typical contract could be something as follows. You might have, let’s say for a metropolitan area, a $1,000-2,000 license fee. You may have, maybe, a few hundred thousand dollars’ worth of integration, and that is getting all the data and preparing the database and getting it ready to operate. And then we would have a component, let’s say 15-20% of the overall contract, as a maintenance, to help them on an annual basis address the needs that they have.
 So we are planning to sell the software both in sort of a SaaS and also the traditional license business model. We believe that as we get traction in IterisPeMS and enjoy a more expanded margin, that should have a positive impact overall on the Iteris margins. 
Operator: Our next question comes from the line of Chris Biles with CJB Capital. 
Christopher John Biles: Question for you on the debt reduction. Can you walk me through what appears to be about a $2.4 million reduction in debt? 
James Miele: That is term debt, basically legacy, from the 2004-2005 reverse merger. It’s just principal and interest payments, and we’re planning on completely paying down the debt by the June 30 quarter. So we’ll be debt-free as of June 30. 
Christopher John Biles: And on the share repurchase, what do you have remaining on the plan as of the beginning of the quarter? 
James Miele: As of the beginning of the quarter, as I said in my comments, we had repurchased about 573,000 or 574,000 shares. Since we’re on a call, and this is public data, currently we’ve repurchased in the neighborhood of 700,000 to 800,000 shares, and we’ve spent about $1 million. So in August of last year, the board authorized a plan to spend up to $3 million to repurchase shares. As we discussed with you today, we’ve spent about a million. 
Christopher John Biles: Okay, so $2 million remaining on the plan, and then it has an expiration when in August? 
James Miele: I think it’s the middle. I think it’s August 11 or 12. 
Christopher John Biles: And on your balance sheet, the cash position of $18.7 million at the end of the quarter, I recall in the LDW divestiture there was an earn-out component, and I believe there was an escrow component. Is there additional cash that you can access, or will access, at some point? 
Abbas Mohaddes: Yes. According to the agreement, we have two components that additional funds could come our way. First, there is the $2 million hold back that eventually a component of that would come to us once the buyer makes clear the IP that they have received, what they refer to as the freedom of operation.
 In addition, we have up to 7 years since they executed the contract a percentage of the royalty that we have been enjoying from the car business that we had with the value company that we had a partnership at the time. A portion of that would be coming to us. Also, for an additional couple of years we would have funds coming to us from other activities and development in that contract.
 So overall, I would just estimate it at somewhere between $500,000 to several million dollars’ worth of additional funds coming to us in the future years. 
Christopher John Biles: Okay, and that’s in addition to the $2 million holdback? Or does that include that? 
Abbas Mohaddes: In addition. The $2 million, by the way, just to be clear, is not guaranteed for us to get all of it. We envision a component of it, hopefully the majority of it we could get back. 
Christopher John Biles: You had mentioned in your remarks about some slippage in the fourth quarter on an international deal, or a few international deals. Can we assume that that carried over into Q1 and was booked business? 
Abbas Mohaddes: Yes. And I won’t mention the customer, but I’ll tell you the value of that was about $700,000. We believe that it has shifted into this quarter. We are not quite sure, but I’m pretty confident that within the first two quarters of this year we’ll be executing and shipping that. 
Operator: And our next question comes from the line of Brett Reiss with Janney Montgomery Scott. 
Brett Reiss: I just wanted to make sure I heard this correct. You’re guardedly optimistic that you can enjoy 20% top line growth in the overall corporation for the foreseeable future? 
Abbas Mohaddes: That is indeed our goal. It is our goal. Again, just to be clear, I was not intending to provide any guidance for this specific fiscal year. But our goal is to position the company so that it could enjoy 20% sustainable growth year over year. And I believe that we’re doing everything we can to position the organization to get there.
 And expanding upon it, we believe a goal of 10-15% operating income is also achievable, again with the way we are headed, with the way we are positioned in the company, to be a leader in information technology, to be able to enjoy higher margins. All of this together ought to be able to get us to that sustainable activity.
 When is that happening? I’ll be disappointed if we don’t get there within a couple of years or so. 
Brett Reiss: All right, but let’s say you achieve that. You did $58 million in sales for the fiscal year ending 2012. Two years from now, if - and I know things can happen, but - you were able to achieve 20% top line growth, 2 years from now you’ll be doing north of $80 million in sales, and if you can achieve 10-15% operating margins, pretax you’ll be making, assuming the share count hasn’t come down, and it might be lower, you’re earning $0.15-$0.23 a share. Just trying to get a sense of if you’re able to achieve these goals, what’s the earnings power here 2 years from now? 
Abbas Mohaddes: I think you did the math excellent in this. That is indeed our goal, and that’s what we are doing, really trying very hard. And I believe, really, the kind of investments that we have done, and the way the board has set their strategy for us since a few years ago, this process started a little bit over two years ago, to really continue investing, positioning, transforming the company into an information company. And those are really the type of margins that we should get when the company starts enjoying these types of offerings and the level of software sales that we envision doing. So I concur with your calculation and the way you concluded in your mathematics in a couple of years what the company should be. 
Brett Reiss: And just to drill down, so everybody’s on the same page, this year when you did $58 million in sales, your operating income pretax was a little over $2 million, or 3.45%. When you look at your budgets, and in moving from $58 million to $80 million plus, you have some sense of what your SG&A and your R&D is going to be with that greater level of sales? And you feel comfortable that you can go from 3.5% in operating margins to that 10-15% with the $80 million run rate sales two years down the road? 
Abbas Mohaddes: Again, I wouldn’t want to provide any comment that would be construed as guidance, but just to help you and other listeners on the call is that obviously we have to continue our investments in R&D and sales and marketing. But we want to be very prudent about it, and not doing that to a level of erosion of, let’s say, operating income.
 So we’d love to be able to certainly gain on operating income, not to the levels this year that would get us to the goal that we’d like to have in a percentage, as I indicated. That would be wonderful if we could, but it takes a little bit of time, a handful of quarters, to get into a steady state opportunity. So I think your comment is quite correct with the calculation that we did.
 The key thing, though, when you look at SG&A and other overall costs, as we grow, we would be leveraging. So let’s say as an example, and I’m just going to pick a number, that year over year we grow 15%. I really feel that the increased incremental added costs on SG&A would be marginal, and it would not be to the same level. So you see, the whole point is to be able to leverage the infrastructure that we have now going forward.
 We established an initiative a few years ago and called it Operational Excellence. And the idea is to look at all components of the business to make them quite efficient. So I believe that for a few years going forward, as we grow, the SG&A as a percentage of sales would continue to decrease. That is another goal that we have. So therefore, expanding the operating margin. Does that help? 
Brett Reiss: Yes. Look, I own the stock. I’m rooting for you. 
Operator: Our next question is a follow up question from the line of Jeff Van Sinderin with B. Riley & Company. 
Jeff Van Sinderen: I just wanted to see if maybe you can talk a little bit more about Vantage Vector, and why that being a hybrid video and radar system makes sense for your customers. 
Abbas Mohaddes: With your indulgence, I’m going to make a few technical remarks on this one, just to help our participants. Traditionally, our video detection has focused on what we call a stop bar at the intersection, which has a cone of view of let’s say about 400-450 feet. You have passed the traffic signal many, many times and at times I would imagine you have seen a yellow light coming on, and you wonder, should I stop or should I go through? We call that in our industry a dilemma zone. So you are really in a dilemma.
 And it’s a safety issue. Many organizations often wonder, well, at this intersection for various geometric or other reasons, do we need to expand that yellow? Do we need to, what they call an R-rep [ph] on the crossing intersection to set it as such to make sure that the vehicles are clear?  So it is always a technical challenge.
 What Vantage Vector does is take the beauty and strength of video detection and combines that with radar. So now with radar, all of a sudden we get an additional 200 feet. So we could get to about 600 feet or so of this cone of view, if you will. And that gives us additional data from what we call the back of a queue of vehicles. So this longer zone gives us more information to be able to deal with this dilemma zone, and the traffic engineers absolutely love it.
 It’s something that has not existed in our industry. What they have done in the past is that some of our customers - as an example in Texas - they buy video from us, they buy radar yet from somebody else, and they put ours at the intersection. They put theirs at about 600 feet beyond, and they connect them together. With our technology, the combination actually costs 20-30% less than those combinations. So many would enjoy that.
 There are additional benefits I don’t want to bore you with, but let me just mention that there are some tough weather conditions, such as dense fog and others, that radar could also help us. So this is really sort of a game-changing product in the traffic management industry, and we expect that to really expand our sales. 
Jeff Van Sinderen: So you have basically a comprehensive video radar solution that increases the zone by about 50% and costs your customers less than if they bought the components separately? 
Abbas Mohaddes: Well said. 
Jeff Van Sinderen: The only other thing I was going to ask was really along the lines of the federal highway bill. I know you mentioned that. Any sense at this point of how long it will take once the bill is signed for that to start to impact your numbers? And then anything you can say about the emphasis on ITS and performance measurements in the new bill? 
Abbas Mohaddes: Similar to the past few bills, once the bill passes it does 2 things. It has a positive psychological impact on many of the agencies, that they could let go of a lot of the RFPs that they have in hand and request for bids. So it has a quick impact. And then by the time we really see recognition of revenue, it takes about a couple of quarters to do that.
 The key thing in this particular bill, you mentioned the performance measurement. Of course that is one of the key issues that is embedded in the bill, asking and requiring agencies to adhere to use of the performance measurement and management. But I may want to take this opportunity and indicate - this bill, no less than 70 locations in various pages in this bill, intelligent transportation systems are mentioned. What that is, is that the magnitude of revenue attributable to traffic management is significant than most of the previous bills. So we would expect a shot in the arm when the bill goes through. 
Operator: And at this time, this concludes our question and answer session. I’d now like to turn the call back over to Mr. Mohaddes for his closing remarks. 
Abbas Mohaddes: Thank you, operator. We appreciate everyone’s support and powerful questions. We look forward to updating you again on our continued progress. Thank you very much. 
Operator: I would like to remind everyone this call will be available for replay via telephone through June 12, 2012, starting at approximately 7:30 p.m. Eastern time today. Please follow the instructions in today’s earnings release. An audio webcast of this call will also be available for replay via the Investor Relations section of the company’s website at www.iteris.com.